Operator: Good afternoon, everyone, and welcome to the First Solar's Fourth Quarter and Full Year 2017 Earnings Call. This call is being webcast live on the Investor section of the First Solar's website at firstsolar.com. At this time, all participants are in a listen-only mode. As a reminder, today's call is being recorded. I would now like to turn the call over to Steve Haymore, First Solar Investor Relations. Mr. Haymore, you may begin.
Stephen Haymore - First Solar, Inc.: Thank you, Ashley. Good afternoon, everyone, and thank you for joining us. Today, the company issued a press release announcing its fourth quarter and full year 2017 financial results. A copy of the press release and associated presentation are available on the Investors section of First Solar's website at investor.firstsolar.com. With me today are Mark Widmar, Chief Executive Officer; and Alex Bradley, Chief Financial Officer. Mark will begin by providing a business and technology update. Alex will then discuss our financial results for the quarter and provide updated guidance for 2018. We will then open the call up for questions. Most of the financial numbers reported and discussed on today's call are based on U.S. Generally Accepted Accounting Principles. In the few cases where we report non-GAAP measures, such as free cash flow, adjusted operating expenses, adjusted operating income or non-GAAP EPS, we have reconciled the non-GAAP measures to the corresponding GAAP measures at the back of our presentation. Please note this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statements contained in today's press release and presentation for a more complete description. It's now my pleasure to introduce Mark Widmar, Chief Executive Officer. Mark?
Mark R. Widmar - First Solar, Inc.: Thanks, Steve. Good afternoon and thank you for joining us today. I'll begin today by briefly discussing some of our 2017 key accomplishments which are highlighted on slide 4. In the year that began with a great deal of uncertainty, with anticipated industry excess capacity leading to bearing module ASP projections, coupled with the challenges that came with our Series 6 transition, I am pleased with our focus, execution and ability to exceed our earnings and cash flow commitments for the year. 2017 was a record year with net bookings of 7.7 gigawatts DC, with Series 6 representing 2.6 gigawatts DC of the bookings. Contracting this business is an outstanding accomplishment and provides improved clarity to ramp and grow our Series 6 production over the coming years. In addition to strong bookings in the U.S., we saw strength in international markets led by Australia, Japan, India and Europe, where we booked over 1.7 gigawatts. While strong demand in China and the 201 trade case in the U.S. helped to firm up the macro environment, our collaborative approach to working with customers and the progress we've made towards the launch of our Series 6 module were key contributors to achieving this record bookings. O&M bookings were also strong last year as we added nearly 2.9 gigawatts of projects, bringing our total O&M fleet under contract to 8.5 gigawatts. Notably, nearly two-thirds of the megawatts booked were in projects where we were not the developer. Successfully winning O&M on projects not developed by First Solar opens our addressable market, which helps create scale for O&M business and thereby enhances our competitive position. Our operating fleet continues to perform at the highest level with effective availability of 99.6% in 2017. There were also a number of notable achievements in our technology, manufacturing and EPC operations last year. Specific to our Series 6 product, as we highlighted at our Analyst Day, we manufactured our first complete module at our factory in Ohio late last year. This target was reached ahead of schedule and represents a tremendous achievement by our entire technology and manufacturing teams. While focused on the development of our Series 6 product, improvement to our Series 4 product continues to roll through our production fleet last year. Our full year 2017 Series 4 fleet average efficiency increased 50 basis points to 16.9% as compared to 2016. The increase in efficiency, coupled with reductions in material and labor costs, enable us to improve the cost per watt of our Series 4 modules by 14% from the prior year. Note this is significantly better than our 9% reduction targeted for the year. Recently, we achieved a significant manufacturing milestone as we produced our 200 millionth module since the inception of the company. This accomplishment is a tribute to the dedication and commitment of our manufacturing associates worldwide. We've had tremendous learnings along this high volume manufacturing journey, which has resulted in one of the most differentiated technologies in the industry. Since 2008, we've seen a greater than 40% improvement in line throughput, a more than 50% increase in module efficiency and reduction of cost per watt of over 70%. These results are truly remarkable. In addition, we continue to make excellent progress on driving down balance of system cost. Relative to our expectation at the beginning of 2017, we have lowered the projected balance of system cost per watt by 20% on major projects that we will be constructing in 2018. This improvement is a result of lower labor cost from utilizing Series 6 modules as well as taking a comprehensive value stream approach to driving down all aspects of BoS cost. With over 7.5 gigawatts of cumulative modules installed, the extensive experience of our EPC team provides not only tremendous benefit to our captive project pipeline but is also a key component of the power plant solutions we offer to corporate and utility customers. As a result of the strong Series 4 bookings, the cost per watt improvements made, and by executing on our key system project sales, we achieved 2017 earnings adjusted for the one-time impact of tax reform and restructuring and asset impairment charges of $2.59 per share which is on the high end of our guidance range. With over $1.3 billion in operating cash flow generated and an ending net cash balance of $2.6 billion, we further enhanced our industry best balance sheet. In late 2016 when we announced the acceleration of our Series 6 roadmap, one of our key objectives was to ensure sufficient liquidity throughout this process. Thus far, we are tracking extremely well against this objective as measured by our net cash at the end of 2017. The net cash position is even more significant when taking into account the fact that in 2017 we invested roughly $500 million in Series 6 capacity, representing approximately 35% of the total committed CapEx which includes capital for a second factory in Vietnam that was not in our original roadmap but we still have a significant capital investment ahead. We're in a strong financial position to execute on the roadmap. Turning to slide 5, I'll take the next step to provide an update on our Series 6 manufacturing plant. Beginning with our factory in Ohio, we have continued to make good progress since we last updated you at our Analyst Day. Our Ohio Series 6 line is now fully integrated and manufacturing modules for extensive testing and evaluation is ongoing. The line performance thus far is consistent with our expectations for this stage of the start-up and our next major milestone is the start of high volume manufacturing, which is scheduled to begin in the second quarter. In Malaysia, where our first equipment began arriving last October, we now have over 90% of the front-end tools installed and we are targeting the first complete module at this location in Q2. In Vietnam, the first factory is ready for tool installation and we've reached a key milestone in January when the coder arrived on site. Construction activities at the second Vietnam factory are ahead of schedule and hiring for the factories is progressing. Overall, we are very pleased with the progress we are making across these three subsequent Series 6 factories with construction activities, factory readiness, tool delivery and tool install all advancing according to plan. Primary focus continues to be on maximizing Series 6 capacity. However, as a result of strong Series 4 bookings, we have decided to restart two lines of Series 4 production in Ohio, which were shut down in late 2017. With our prior workforce having transitioned to support the new Series 6 process, we are currently hiring new associates to run these lines. These additional lines will provide us with 180 megawatts of additional volume in 2018. Whether we continue to run these lines beyond 2018 will depend on market conditions. This incremental capacity raises our 2018 expected production to 3.1 gigawatts DC. Next, I'll discuss our bookings since our last earnings call. As highlighted on slide 6, we had net 2017 bookings of 7.7 gigawatts DC versus shipments of 2.7 gigawatts DC for the same period. Since the start of 2018, we have booked approximately 1.3 gigawatts of additional volume bringing our total future contracted business to 9.1 gigawatts DC. Including the 1.3 gigawatts of volume booked year-to-date, our total bookings since our Q3 earnings call are now over 2.3 gigawatts DC. Development project bookings are a key component of the 2.3 gigawatts of new business signed. Leveraging our advantaged Series 6 module, we have signed PPAs for nearly 600 megawatts DC with both utility and corporate customers. As discussed at our recent Analyst Day, demand for solar power from both utility and corporate customers is expected to grow significantly in coming years. We believe that we are well-positioned to take advantage of this opportunity and be a partner of choice for these customers. Focusing first on utility customers, we signed a PPA with Georgia Power for a 200-megawatt ac project that is expected to commence construction in November 2018 and reach COD by late 2019. We were awarded this volume as part of the 525-megawatt ac RFP for Georgia Power's Renewable Energy Development Initiative. Upon completion, it will be one of the largest solar power plants in the southeastern U.S. We look forward to continuing our partnership with Georgia Power and helping them meet the solar needs of their customers. Additionally, we have signed a PPA with APS to develop and construct a 65-megawatt ac solar power plant in Arizona with a 50-megawatt ac battery capable of delivering power for more than three hours. This project is expected to be one of the largest PV plus storage or PVS systems in the U.S. when completed in 2020. We believe this PVS project is an industry-first, demonstrating the ability of the combined technology to serve APS with a firm peaking resource which will allow APS to meet customer's electricity demands into the evening hours. We are excited for the opportunity to partner with APS on this flagship project to provide reliable, cost effective, dispatchable solar and thereby enhancing the economic value of solar energy. In addition to utilities contracting for solar via PPAs, we're also witnessing growing interest and increased approval for utility ownership for solar generation as highlighted by our recent partnership with Tampa Electric Company. As indicated previously, we signed a large module agreement with Tampa Electric Company last year and we have now contracted with them to add EPC scope to three projects which total 250-megawatts DC. We are excited about the opportunity to help them build out their fleet of rate base utility scale solar and we continue to discuss with them additional projects where we may add EPC services to our current module supply agreement. As the long-term owner of solar assets, utility buyers place greater emphasis on partnering with exceptional performance track record, a reputation for quality and a strong balance sheet. We believe we are well-positioned in this market as our strengths closely match their requirements and we expect this trend toward utility ownership to continue to accelerate. Moving to C&I, I would like to highlight our continued progress in this market segment. We signed 150-megawatt ac PPA with a major corporate renewable customer in the U.S. This agreement represents a significant purchase of solar power that will enable this customer to advance towards its 100% renewable energy goal. We will provide more detail on this transaction in the future. Similarly to utility customers, corporate renewal buyers are now not only focused on the economics and value of solar, but also heavily weigh other factors they believe give us an advantage with this customer group. Corporate customers are very focused on avoiding reputational risk which means they are looking for partners with a proven track record and financial stability. In addition, they value partners with a global reach and the ability to provide turnkey solutions. Internationally, our development pipeline in Australia continues to grow with the signing of the Beryl project located in New South Wales. This project is expected to be completed in the middle of 2019 and brings our contracted pipeline to over 100-megawatts ac in Australia. We continue to have a very active development portfolio in Australia with additional projects in our mid-to-late stage pipeline. Moving to slide 7, I'll provide an update on our mid-to-late stage bookings opportunities. At 6.8 gigawatts DC, the mid-to-late stage opportunities are more than triple the opportunities we had at this time last year. Since last quarter's earnings call, the number of opportunities have increased by a net 600-megawatts DC. With bookings of over 2.3 gigawatts DC during the same time period, gross total opportunities added exceeded 3 gigawatts. Included in the 6.8 gigawatts opportunities are more than 1.5 gigawatts of projects that we have signed but due to our disciplined approach have not yet been counted as bookings. The majority of these opportunities are expected to book over the course of the year as financing our other CPs (15:38) are closed. Also of note is that our mid-to-late stage pipeline provides visibility into contracting volume for the next several years. Over 4.5 gigawatts of the opportunities are for delivery in either 2020 or 2021, highlighting the time period in which we are discussing opportunities with our customers. System projects are another important component of the mid-to-late stage opportunities and comprise over 750 megawatts DC of these potential bookings. Similar to last quarter, this list includes opportunities with U.S. utilities, corporate customers and international projects in Japan and Australia. While not reflected as a potential booking opportunity in the 6.8 gigawatts shown, we are currently in discussions with various customers that have already purchased our modules to add EPC scope to nearly 900-megawatt DC of projects. These potential opportunities are in addition to the more than 250-megawatt DC already booked with Tampa Electric Company. While these EPC agreements will not be counted as bookings when signed, they'll be added to our contracted future revenue and be reflected in the contracted pipeline table in our 10-K and 10-Q filings. With 900-megawatts of EPC opportunities, almost 600-megawatts of new project development bookings and 750-megawatts of mid-to-late stage development opportunities, we are encouraged by our progress and remain steadfastly focused on strengthening our systems pipeline. Lastly, as recently announced, 8point3, our joint venture yieldco with SunPower, has entered into a definitive agreement to be acquired by Capital Dynamics. This agreement follows a comprehensive multi-phase process, where more than 130 parties were contacted and expressed inbound interest and while multiple structures were considered. Based on the extensive nature of this process, we firmly believe the transaction with Capital Dynamics represents the most compelling option for all shareholders. With committed acquisition financing and Capital Dynamics' proven track record of acquiring renewable projects, we are confident that the transaction will close. We expect net proceeds from the sale of our interest in 8point3 of approximately $230 million. Please note that the actual net proceeds we receive upon closing will depend on the day the transaction actually closes. Upon closing of the transaction, the $50 million promissory note associated with our sale of interest in the Stateline project to 8point3 will be repaid. I'll now turn the call over to Alex, who will provide more detail on our fourth quarter financial results and discuss updated guidance for 2018.
Alexander R. Bradley - First Solar, Inc.: Thanks, Mark. Turning to slide 9, I'll begin by discussing our fourth quarter operational highlights. Keep in mind that the metrics provided are reflective of Series 4 manufacturing only. Module production increased slightly in the fourth quarter to 532-megawatts DC, a 1% increase from Q3. Compared to the fourth quarter of 2016, production is lower as a result of ramping down certain Series 4 lines in Ohio and Malaysia to make way for Series 6 production. Capacity utilization, which makes adjustments for the lines taken out of service, was 99%. Our fourth quarter fleet and best line conversion efficiency were unchanged versus the prior quarter at 17%. This will be the last quarter we report Series 4 efficiency since it will remain relatively unchanged going forward. And in future quarters, as Series 6 enters production, we will modify the operational metric to provide the most relevant information. I'll next discuss some of the income statement highlights for the fourth quarter on slide 10. This will include some non-GAAP measures such as adjusted operating expenses, adjusted operating income, non-GAAP earnings per share and free cash flow. And please refer to the appendix to the earnings presentation for the accompanying GAAP to non-GAAP reconciliations. Net sales in the fourth quarter were $339 million, a decrease of $748 million compared to the prior quarter. The expected decrease in net sales was due to both lower systems and third-party module sales. Systems project sales are much higher in Q3 due to the initial revenue recognition of the California Flats and Cuyama Projects. For the second phase of California Flats as well as other development projects that are scheduled to reach COD in 2018, which are optimized to Series 6 modules, there was minimal systems activity in Q4 of 2017. Projects such as Rosamond and Willow Springs, which are scheduled to be completed in 2018, have not yet been sold and therefore did not have any revenue recognized in Q4. Both of these projects are progressing well through the sale process. For full year 2017, net sales were $2.94 billion, a 1% increase versus the prior year. Relative to our net sales guidance for 2017, our actual sales were slightly lower as a result of certain project sales in India that moved into 2018. As mentioned on our last earnings call, there was some uncertainty as the timing of when these projects would be sold. And while we did close the sale of the 35-megawatts in 2017, the remaining projects are now expected to be sold this year. As a percentage of total quarterly net sales, our system revenue in Q4 was 39% as compared to 72% in Q3. For the full year 2017, 73% of net sales from our systems business compared to 77% in 2016. As I indicated at our Analyst Day in December, we have modified our segment reporting in order to better align with our internal analysis of the business and also to reflect the expected increase in third-party module sales as we ramp manufacturing capacity in the coming years. The module segment now includes only module sales to third-parties and the systems segment will include all revenue from the sale of solar power systems, including the module. These changes to our segment reporting will be fully reflected in our 10-K. Gross margin decreased to 18% in the fourth quarter from 27% in Q3, primarily as a result of the low gross profit projects realized. For the full year, gross margin was 19%. Adjusted operating expenses, which exclude restructuring and asset impairment charges, were $99 million in the fourth quarter, an increase of $15 million compared to Q3. More than half of the increase is due to higher production start-up as Series 6 activities accelerated. For 2017, adjusted operating expenses were $334 million, in line with our guidance. Combined SG&A and R&D expense decreased by 25% versus 2016 despite higher variable compensation in Q4 of 2017. And this reduction of $95 million is a significant one year reduction and demonstrates positive impact of our focused restructuring efforts. Excluding restructuring and asset impairments, we had an adjusted operating loss of $37 million in the fourth quarter compared to an adjusted operating profit of $208 million in the third quarter. The decrease in adjusted operating income was primarily due to lower net sales and higher production start-up expenses. For full year 2017, our adjusted operating income was $215 million. Before discussing income tax expense for the fourth quarter, it's important to understand the impact of U.S. tax reform legislation that was signed into law in December 2017. The new tax law, amongst other changes, lowered the statutory federal corporate tax rate from 35% to 21%, imposed a mandatory one-time tax on accumulated earnings of foreign subsidiaries, introduced new tax regimes and changed our foreign earnings subject to U.S. tax. Given the scope of our operations across module manufacturing, project development, EPC and O&M services and the global reach of our business operating across the Americas, Europe, Middle East and Africa, India and Asia-Pacific, the impact of tax reform on First Solar is both complex and varied. Strategically, we believe the impact of tax reform will be a net positive for First Solar. We may see some short-term impact to the U.S. project development and financing markets, as capital structures and sources adapt to the new tax regime. We continue to evaluate the impact of new international tax structures on our international manufacturing and sales businesses. And we expect the lower corporate tax rate and immediate expensing of qualified equipment to be beneficial to our existing U.S. manufacturing base, as well as importantly making the option of adding additional U.S. manufacturing capacity more attractive as we look to scale the module manufacturing business. Specific to 2017 reported financials and 2018 guidance, due to the complexity and recent implementation of this tax reform, we continue to evaluate this impact. The provisional amounts that we have recorded will require additional analysis and further interpretation on guidance from government regulators. This means that we expect to continue revising our provisional estimates until we file our 2017 federal return later this year. Our 2018 guidance being provided today has also been updated to reflect our provisional view of the impact of tax reform. But in both cases, the final resulting financial impact of this tax reform may differ materially from our current estimates. In the fourth quarter, we recorded a provisional tax expense of $408 million which included a $401.5 million charge on the accumulated earnings of foreign subsidies and a net deferred tax expense of $6.6 million for the remeasurement of deferred tax assets and liabilities at the lower U.S. corporate income tax rate of 21%. These items were offset by a tax benefit in the quarter bringing the total expense for Q4 to $399 million. The cash impact to this tax reform is expected to be much lower than the P&L impact. By utilizing existing tax credits, we estimate our cash payment will be approximately $101 million and we plan to pay this amount over the full eight year period allowed. As a result of the higher tax charge, lower revenue and higher production start-up expenses, our GAAP loss per share in the fourth quarter was $4.14 compared to GAAP earnings per share of $1.95 in Q3. The full year 2017 GAAP loss per share was $1.59. After adjusting for tax reform impacts and the effective restructuring and asset impairment charges, our non-GAAP loss per share was $0.25 in Q4 and our full year 2017 non-GAAP EPS was $2.59. Our $2.59 non-GAAP EPS for 2017 was near the high end of our guidance range even without including the international projects mentioned earlier that moved into 2018. I'll next turn to slide 11 to discuss select balance sheet items and summary cash flow information. Our cash and marketable securities balance at year-end was nearly $3 billion, an increase of $270 million from the prior quarter. Our net cash position increased by $220 million to nearly $2.6 billion. The increase in our cash balance is primarily related to cash received from projects sold in the prior quarter and third-party module sales. The year-end net cash balance of $2.6 billion was higher than our guidance expectations of $2.3 billion as a result of lower development spending on certain projects due to timing, higher advanced module payments, favorable timing of collecting project receipts and working capital changes, partially offset by slightly higher CapEx. Net working capital in Q4, which includes the change in non-current project assets and excludes cash and marketable securities, decreased by $457 million. The change was primarily due to a decrease in accounts receivable from module and systems collections, including final payments on the Switch and Cuyama Projects. Total debt at the end of the fourth quarter was $394 million, an increase of $50 million from the prior quarter. The increase resulted from issuing project level debt to fund ongoing project construction in Japan and Australia. And, as a reminder, essentially all of our outstanding debt is project related and will come off the balance sheet when the projects are sold. We had strong cash flows from operations in Q4 of $434 million, primarily as a result of payments from system projects. Operating cash flow in the prior quarter was $581 million. For 2017 full year, cash flows from operations were $1.34 billion which exceeded the high end of our guidance expectations. And operating cash flows were stronger for the year as a result of the same items that positively impacted net cash. Capital expenditures were $199 million in the fourth quarter compared to $98 million in the prior quarter as spending on Series 6 increased. For the full year, CapEx was $514 million, the vast majority of which was invested in Series 6 past expansion. Turning to slide 12, I'll review our updated full year 2018 guidance. Before discussing guidance in detail, it's important to keep in mind the expected distribution of earnings between the first and second half of the year. With Series 6 production planned to commence in the second quarter and ramp significantly in the second half of the year, we've always anticipated that first half of 2018 would be the trough in our earnings profile. Start-up expense is weighted towards the first half of the year. The timing of project sales and systems revenue recognition further magnifies the first half versus second half difference. The second half of California Flats as well as the Rosamond and Willow Springs projects will utilize Series 6 modules, which pushes more revenue and profit recognition into the second half of the year. The forecasted sale of projects in Japan is also expected to take place later in the year. Based on these circumstances, we expect approximately 25% of full year earnings to be recognized in the first half of the year with Q2 expected to be stronger than Q1. Depending on the timing of U.S. and India project sales between Q1 and Q2, there is a potential for a loss in Q1. With that context, I'll now discuss updated guidance ranges. We are raising our net sales guidance by $150 million to a revised range of $2.45 billion to $2.65 billion. The increase in net sales is a result of both the timing of the India project sales that we now expect to close in 2018 as well as the increase in Series 4 production in Ohio. Gross margin guidance has been revised down by 50 basis points to 21.5% to 22.5%, resulting from the updated mix of revenue. Operating expenses remain unchanged from our prior expectations. As a result of the higher revenue, we are increasing the midpoint of our operating income guidance by $15 million. There are certain updates below operating income that had a largely offsetting impact. Firstly, we're increasing our estimated tax expense for the year by approximately $20 million. Approximately 30% of that increase is a result of the new tax reform legislation with the remaining impact from the revisions to our forecasts. And, again, we've updated our guidance based on our provisional view of tax reform impact and the final impact could differ from our current estimate. More than offsetting the increase in tax expense is higher equity in earnings from the pending sale of 8point3, which was previously not included in our guidance. Combining the update to net sales, tax and equity in earnings forecasts leads to a revised EPS range of $1.50 to $1.90. This is a midpoint increase of $0.20 from the prior guidance. Capital expenditures have been increased by $50 million to reflect revised timing of some Series 6 capital outlays. The expected net cash balance at the end of 2018 was increased by $500 million for a revised range of $2.1 billion to $2.3 billion. The increase is a result of the higher than forecast ending 2017 cash balance and incorporates the expected proceeds from the 8point3 transaction of $280 million which includes the receipt of $50 million from the Stateline promissory notes. When we embarked on our Series 6 program, we were focused on maintaining a strong balance sheet and liquidity position throughout the transition. From a starting point of $1.8 billion of net cash in Q4 2016 and with forecasted Series 6 CapEx over a two-year period of $1.2 billion, we today expect to end 2018 with a net cash balance approximately $400 million higher than at our starting point at $2.1 billion to $2.3 billion. Finally, I'll summarize our fourth quarter and 2017 progress on slide 13. Firstly, we had tremendous success adding to our contracted pipeline in 2017 with net module bookings of 7.7 gigawatts. With year-to-date 2018 module bookings of approximately 1.3 gigawatts, we're also off to a strong start for this year. Secondly, our Series 6 roadmap continues to move according to plan. Our factory in Ohio remains on schedule towards commencing high volume manufacturing in Q2. We're very pleased with the progress we're making on our transition to Series 6. Thirdly, we ended 2017 in a strong financial position, net sales of $2.9 billion, non-GAAP EPS of $2.59 and net cash of $2.6 billion. And, lastly, we raised the midpoint of our EPS guidance by $0.20 to $1.70 and raised our ending net cash by $500 million. And, with that, we conclude our prepared remarks and open the call for questions. Operator?
Operator: Thank you. And we will take our first question from Brian Lee with Goldman Sachs. Please go ahead.
Brian Lee - Goldman Sachs & Co. LLC: Hey, guys. Can you hear me?
Mark R. Widmar - First Solar, Inc.: Yeah. We hear you, Brian.
Brian Lee - Goldman Sachs & Co. LLC: Sorry about that. Yeah. Just maybe first one for you, Mark. I thought the commentary around the development project pipeline, it sounds like you'd seen some better momentum. So, do you still see the 1 gigawatt baseline being the right target for 2018 and maybe, more importantly, for 2019 or should we be expecting some upside to that level at this point?
Mark R. Widmar - First Solar, Inc.: Yeah. Brain, the way I'd look at it, let's hold kind of the gigawatt view at this point in time. We internally are continuing to pursue all opportunities that we can in enhancing the systems pipeline. Whether it's development PPAs, whether it's utility-owned generation, whether it's working with large C&I customers, I'm happy with momentum that we're seeing right now. We're also starting to see – the announcement we had with APS on the PV plus storage, we're seeing a lot more of that opportunity in the marketplace right now. So, I think, there is a tremendous amount of momentum moving in that direction that we're very well-positioned and we have a pretty robust pipeline of projects that we're pursuing. I think what the best thing to do is right now is while we may be tilting to move above that number over the horizon, I think, let's stay at the 1 gigawatt and we'll continue to update you on our progress as we move forward.
Operator: And we'll take our next question from Philip Shen with ROTH Capital Partners. Please go ahead.
Philip Shen - ROTH Capital Partners LLC: Hey, Mark, Alex. Thanks for the questions. First one here is on ASPs. We've heard some chatter that you may be trying to increase ASPs on existing bookings post-201. Module pricing is up incrementally following the tariffs. Do you have any wiggle room in your contracts to increase your ASPs for your 7.7 gigawatts of bookings through year-end 2017 or are they locked in? And also, does your 1.3 gigs in 2018 year-to-date reflect any of the higher pricing that the market has experienced? Secondarily, we're also hearing that there may be some additional Series 6 capacity coming available for customers. Is this primarily due to the additional Vietnam facility you talked about in December or are you contemplating yet another capacity expansion? I know you have a lot on your new plate with launching five facilities over three years but what would it take to add yet another gigawatt of capacity sometime in the next couple of years? Is that even realistic?
Mark R. Widmar - First Solar, Inc.: Yeah. So on the ASP – sorry, that first, let me – again the way we've structured our contracts, that 7.7 gigawatt that you referenced, they were firm, legally enforceable obligations between both counterparties. So those ASPs were firm fixed price ASPs in both directions. So there is no room to move relative to that and we're very happy with how we contracted that volume. So it's always one of those things you could look back in hindsight and say should you have done anything differently. I'm very happy with what we did. I think we did everything we should have and we did the right thing and best positioned us not only to best serve the needs of our customers but to enable the company to continue to grow. As it relates to the 1.3 gigawatts that we booked since the beginning of the year I mean clearly the business that has not been booked in the 1.3 is a carry forward as we started beginning of this year with a clarity around the 201 case. We engage the market and we get market prices at that point in time. So is there room potentially around Series 6 in particular to get maybe slightly better ASPs than we would have recognized previously and then in the 7.7 gigawatts or I guess the 2.6 that we booked the Series 6 last year? Clearly, there is always that opportunity but again it's a balanced take around how we engage with our customers from that perspective. But it's always we want to make sure that we're giving them the best quality, best technology, enable them to be successful and to make sure we're getting a fair value for the technology that we're providing. As it relates to the Series 6 capacity, there are no firm commitments at this point in time to do anything but what we've already indicated during our Analyst Day. Now what I will say though and Alex alluded to this a little bit in his remarks, as we look at the tax reform and what's happening now with the U.S. corporate tax rate, when you look at immediate expensing, there's optionality potentially or there's scenarios I guess maybe is a better way to say that we would look to in the U.S. to add additional manufacturing as part of our overall scenario analysis across the global production platform. Looking at the U.S. has a different lens than it would have otherwise before tax reform and there is some capability that potentially says that we could get – if we made a decision to produce in the U.S. could we get some additional capacity between now and, say, the 2020 or beginning of 2020 timeframe? Could we get a little bit more capacity? Potentially. It depends on how things play out. That's a scenario that we're going to continue to evaluate. No commitment at this point in time, but it wouldn't be an order of magnitude of a gigawatt. We're talking a few hundred megawatts or so from that perspective, nothing around Series 6 that would capture a gigawatt of upside over say the next two years or so.
Operator: And we'll take our next question from Paul Coster with JPMorgan.
Mark W. Strouse - JPMorgan Securities LLC: Hi. Good evening. This is Mark Strouse on for Paul. Thanks for taking our questions. So, regarding the revised revenue outlook for 2018, can you provide a little bit more color how much of that was driven by the timing of the international project versus the Section 201, the increase in Series 4 production?
Alexander R. Bradley - First Solar, Inc.: Yeah. The increase is probably about $150 million rollover from the India assets. So you're going to see a relatively small piece come from the again relatively small added capacity that we're putting on into Perrysburg, the majority coming from the rollover of those India assets.
Operator: And we'll take our next question from Colin Rusch with Oppenheimer.
Colin Rusch - Oppenheimer & Co. Inc.: Thanks so much. Can you clarify how much of the bookings happened after the 201 decision was laid out? And then also if you could give us an update on where we're at in terms of the historical storage solutions that you've been working on and working with partners on?
Mark R. Widmar - First Solar, Inc.: So I mean if you think about the actual – I guess the President made his final decision on 201 was at the end of January. So I guess if you really look at the timeline we're about a month – less than a month I guess from when that actual final decision was made. We had a significant amount of momentum going into the bookings, even before the announcement from the final decision. Clearly, there was indication of potential impact around the 201 case. Tariffs were being proposed by the Commissioners to the President. So there's been indication in the marketplace, stronger indications as we progressed through the second half of 2017 clearly. And as we indicated as well even in our mid-to-late stage pipeline, we've got over a gigawatt of basically negotiated volume that sits within that pipeline, just to various CPs (41:24). So what I would say is if you look at the profile of the bookings as they've evolved, let's say, from the middle of 2017 through today as well as plus what's in our mid-to-late stage pipeline, as we continue to move across that continuum, clearly, the indication, the overhang or the concern I guess maybe is a better way to say it of the impact of 201 continue to increase over that horizon. But the other thing I want to make sure is clear is we said this before. We have engaged our customers and we've done this in a risk sharing approach. And we have not tried to do anything that would be opportunistic or to create some form of windfall benefit to First Solar. We look at this overall industry as having tremendous growth and potential. It is a marathon. It is not a sprint. We want to have long-term relationships with our customers. We'll treat them fairly and we'll continue to give them the best technology in the industry and provide the best power plant solutions and maintaining those power plant solutions over their anticipated lifecycle. So, that's how we're thinking about kind of our customer engagement model and not to try to do something that will be short-term, opportunistic to adversely impact our long-term relationships.
Operator: And we'll take our next question from...
Mark R. Widmar - First Solar, Inc.: I'm sorry. I think there was one other question on PVS. I'm sorry. I just want to make sure I got that one as well. Look, I think the deal that we've done with APS, I think, it's unique in the fact that – and different than anything else that has been done so far. The PPA with APS is for 100% of the battery components of the energy generation. It's all for power that'd be delivered in the early evening hours. It was part of an all resource RFP, where we competed head-to-head with mainly gas peakers. They were looking for generation that was going to be dispatched in the, call it the, 3:00 to 8:00 or even after 8:00 P.M. type of window. So, that we're generating the PV during the day. We're storing the energy in the batteries. And then we're dispatching in a point in time of when there's the greatest need for that energy, in the evening hours. And so that's creating a completely different value proposition and kind of the changing the game around what are the fundamental economics of solar. It's not just looking at the power generation during the middle of the day. It's saying what can we do to create enhanced value by having truly reliable, dispatchable, controllable solar in the evening hours. So, I think that more and more utilities will continue to evaluate what we've done there. I think you'll see more momentum. We are continuing to see a tremendous amount of interest from our customers around thinking about storage. And whether it sits today as part of the power plant or to look at the long-term optionality around how to integrate storage at some future date that creates optionality that they may want to take advantage of in the future, especially in markets where the solar penetration is much lower than it is say in California or even here in Arizona. But it's those types of kind of forward-looking and thought leadership kind of value proposition that we're able to create with our customers. And I think there will be a lot of interest and people wanting to learn more about what we've done with APS, and we're already getting some inquiries from customers.
Operator: And we'll take our next question from Jeff Osborne with Cowen & Company.
Jeffrey Osborne - Cowen & Co. LLC: Hey. Good afternoon. A two part question. So I think at the Analyst Day you talked about 13.75 gigawatts of cumulative shipments between 2018 and 2020. I guess you've got 9.1 gigawatts of that booked now. Where does that go with the Ohio decision that you made? And then also, I think, it was buried in the footnotes, but can you just touch on the 700-megawatts of de-bookings that you saw during the year?
Mark R. Widmar - First Solar, Inc.: Yes. So, right now, the way I would look at the – if we look at the decision that we're going to continue to run two lines in Perrysburg, at this point in time, think of it as it's a commitment for this year. So there's another call it couple hundred megawatts that we would – in the supply plan relative to what we would have said in the Analyst Day. We will continue to evaluate that production as we exit this year. Do we continue to run it into 2019? Do we carry it into 2020? If we did it across all three years and you're talking in the range of about 600-megawatts, if we chose to do that. So that's – just think of it right now 200-megawatts, that's what we're committing to. We'll continue to evaluate when we make a decision to run that production longer than that. Relative to the 700-megawatts of de-bookings, the largest one that we had during the year was a project which went by a couple different names, either Tribal Solar or Fort Mojave, depending on – I'm not sure exactly how we called it in our SEC filings. So that was a PPA that we had with a California utility. And because of various reasons of viability around that project we ended up terminating that PPA. So that was a piece. And then there was a handful of module agreements that we entered into – almost framework agreements that, as we looked at the viability of those framework agreements relative to incremental demand that we were seeing in the marketplace for our Series 4 product, there was agreement between both parties that we terminated those framework agreement. So that's really what makes up the de-bookings that we highlighted in the footnote.
Operator: And we will take our next question from Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank Securities, Inc.: Thanks for taking my question. Mark, can you maybe talk about the margin guidance? Is it just Series 4 or is it something else that's driving the margin outlook for this year? And also relative to the 201 case announcement, have you seen any change in pricing for your products? Has prices gone down or up relative to what you guys were looking at late last year? And then as far as the 8point3 announcement goes, you guys at the time made some comments around a challenging outlook for the utility scale power market, just in terms of the forward pricing, et cetera. So what's your sense of how the margins in the utility scale market are looking right now relative to with the time of the Analyst Day? Thank you.
Mark R. Widmar - First Solar, Inc.: Yeah. I'll answer the 201 and then Alex can take the question on margin and 8point3. One thing that I want to go back to, the one question around the de-bookings, I want to make sure that it's clear that those de-bookings were bookings that we had in our backlog. Actually, in one case, those booking came in, I think, in 2015. The Tribal Solar I think was around 2015. The other framework agreements were 2016, okay. They had nothing to do with any of the contracts that we have entered into in 2017. So as we've made comment that those are firm enforceable obligations with penalties, liquidation damages associated, these de-bookings had nothing to do with that because I know we continue to get asked the question, are these truly enforceable contracts? And I don't want the conclusion to be it's all de-bookings. So this is an indication those truly were non-enforceable contracts. Nothing, nothing that was de-booked had anything to do with anything we recognized in 2017. These were all much older contracts from that standpoint. As it relates to the 201 case, Vishal, as I tried to indicate before, we're trying to find a way that we can find a win-win for our customers. We want to make sure that their projects are viable, that we're getting fair value for the technology. It also allows us to be somewhat selective with who we choose to engage with in highly creditworthy type of counterparties and others. So we can be more selective from that perspective and giving the best technology that enables their business model which obviously enables ours as well. And the other thing is we're booking as we indicated – if you look at the mid-to-late stage pipeline, our bookings profile that's out in 2020 and really almost towards the end of 2020 and even into 2021, those are somewhat uncharted territory for us. So, for me to tell you what that pricing looks like relative to before and after the 201, it's hard for me to give you a line-of-sight for that, because that momentum has only started to happen over, I would say, the last quarter or so. So you can't really indicate – move it one way or the other, because we're largely sold out through 2018, 2019 and into the first half of 2020 right now. So our bookings opportunities are much further out in the horizon. What I'll tell you is that when I look at the ASPs that are out there, relative to our roadmap of Series 6 and where we're going with that technology, I'm pleased. I think it aligns up with all of our expectations in that regard. So I'll let Alex answer the other two.
Alexander R. Bradley - First Solar, Inc.: Yeah. So, Vishal, regarding the margins, I mean the margin profiles that we gave in our Analyst Day, I think, still holds. So, what you're seeing perhaps a slight increase in margin for this year is a function of some of the systems projects that we have. We're still pleased with where the margins are in the Series 4 products, which are in line with what we guided to in December. Around 8point3 and the challenging outlook potentially of the utility scale market, I'd say, look, as Mark mentioned in his prepared remarks, we ran a very comprehensive process, over 130 potential buyers contacted. And while we clearly would have liked to have got to a better outcome in terms of price, we do believe it's the best that are out there in the market. But it's a little bit different from how we look at a future utility scale deal. So, there's a bit of a difference in that situation. At the time we were out marketing 8point3, you had – NRG Yield was also in the market which added a little bit in terms of a less competitive situation. You'd always rather have less assets rather than more in the market at the same time. We also had the Southern Company that owned the majority interest in a lot of the projects in 8point3, were out marketing a piece of their broader solar portfolio at the same time. 8point3 has minority ownership in some of the projects and therefore that's different to a buyer who can (51:58) purchase a new project outright and have a controlling interest. You also have a mix of utility scale as well as there is REDI and C&I projects in that portfolio. The capital structure of 8point3 today had non-amortizing debt, so that was actually replaced in time as amortizing as you sold that portfolio. The asset level structures were already in place around the tax equities, less flexibility for a new buyer there, and there is also some less flexibility around providing on the (52:24) value stream to buyers around O&M, for instance. When I think about the result of 8point3 relative to I think about the viability of the ongoing utility scale business, I think, there are clearly some differences there which give me comfort that although clearly we would prefer a higher number on 8point3 relative to where we ended up, it doesn't give me significant doubts around our ability to successfully monetize our existing utility scale portfolio at the margins that we've guided to.
Operator: And we will take our last question from David Katter with Baird. Please go ahead.
Tyler Charles Frank - Robert W. Baird & Co., Inc. (Private Wealth Management): Hi, guys. This is Tyler Frank. I was hoping if you can discuss how we should think about margins over the longer-term. Since you have the contracts already locked in and I assume prices and if things go to plan with your cost roadmap, should we expect margin expansion going into 2019 and 2020, based off all the information you have today?
Mark R. Widmar - First Solar, Inc.: Yeah. So, Tyler, there is a lot of moving pieces in there and I'm not going to give you kind of a margin range. But what I'll say is, look, as we move forward, when we transition everything in the Series 6 as an example, we eliminate the form factor delta and the higher BoS cost, right. So now we've got a product that is a form factor equivalent and BoS neutral, right, potentially advantaged depending on the application and with an energy yield advantage. So, that creates a tremendously competitive product that as we move from 4 into 6 would give us an opportunity to see gross margin expansion. There's no doubt about that. In terms of what does that profile look like, there is still way too many moving pieces at this point in time to represent that. But the other thing I want to make sure that we've highlighted this in the Analyst Day, is the – if we're talking gross margin versus op margin, I think, op margin. And if we can manage to scale against our fixed cost structure, we're going to see very strong contribution margin leverage against a fixed cost structure through OpEx that's going to drive op margin expansion. So, growth and scale will be more impactful as it relates to op margin expansion, per se, than just the transition from 4 to 6 and whether or not where my ASP versus cost entitlement is around Series 6. That's going to be a critical enabler but equally if not – and like I said probably more importantly it's going to be our ability to scale against our fixed cost to drive op margin expansion.
Operator: And this concludes our question-and-answer session for today and also ends the First Solar conference call. We thank you all for your participation and you may now disconnect.